Operator: Greetings, and welcome to Intellinetics First Quarter 2025 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Roger Grabner, Director of Marketing. Thank you. You may begin.
Roger Grabner: Thank you, and good afternoon, everyone. I am pleased to welcome you to Intellinetics 2025 first quarter conference call. Before we begin, I would like to remind listeners that during this conference call, comments made by management may include forward-looking statements regarding Intellinetics, Inc. that are not historical facts. These forward-looking statements are based on the current expectations and beliefs of management, and they are subject to risks and uncertainties that could cause such statements to differ materially from actual future events or results. Intellinetics Inc. undertakes no duty to update any forward-looking statements. For more information about factors that may cause actual results to differ materially from forward-looking statements, please refer to the press release issued today, as well as risks and uncertainties included in the section under the caption, Risk Factors and Management's Discussion and Analysis of Financial Conditions and Results of Operations in Intellinetics annual report on Form 10-K or the quarterly report on Form 10-Q filed today. Also, please note that on the call today, management will discuss non-GAAP financial measures such as adjusted EBITDA and total contract value. Non-GAAP financial measures are not intended to be considered in isolation or as a substitute for results prepared in accordance with GAAP and may be different from non-GAAP financial measures presented by other companies. A reconciliation between GAAP and non-GAAP measures can be found in the press release issued today. With all that said, I would like now to turn the call over to Jim DeSocio, Intellinetics' President and CEO. Jim, the call is yours.
Jim DeSocio: Thank you, Roger. Our Payables Automation solution provides an extremely quick return on investment for our customers and offers our company a clear organic growth opportunity to rapidly grow our SaaS revenue over the next four to five years just with continuing a successful rollout with existing partners. We view Payables Automation as a transformative opportunity for our company and we plan to continue to make investments to position the product for as rapid and adoption as we can drive. We have more reference accounts than we ever have and that number will grow quarterly. With our HomeBuilder, ERP partner, we closed two orders in February and two in March. And with our K-12 partner we closed three more in the first quarter. In addition to sales and marketing initiatives, we plan to enhance our development capabilities to bring features to market more quickly and to bring our solutions to new ERP partnerships, which become additional ecosystems for happy customers. Because we have a solution with a very rapid and identifiable payback with an identifiable market that drives our historic performance, now is the time for us to invest in scaling our business as we transform into a predominantly SaaS-driven company with a diverse growing suite of solutions for customers in the digital transformation space. We've continued in 2025 to strengthen and institutionalize our sales tools and processes, for example, by hiring a Sales Engineer, Senior Payables Automation Solutions Consultant, and VP of Sales, all of whom have significant experience with both the solutions we offer and markets we serve. We've also made investments in IT infrastructure and controls for SOC 2 certification, believing certification offers significant benefits, including increased customer trust and loyalty, improved cybersecurity risk mitigation, and creates a competitive advantage over non-compliant SaaS providers. As expected and called out in prior communications, these investments reduced our EBITDA temporarily. We believe that these investments will bring additional revenue opportunities that should exceed the, spend and be accretive at some point in later 2025 and into 2026. While our SaaS business continues to grow, our professional services business had a weak quarter. Shareholders should know that orders have already picked up this quarter. Earlier this quarter, we achieved our biggest single order intake week in years. The record-breaking week for over $2.4 million of total contract value in new project contracts was driven by numerous state agencies and commercial clients, with revenue expected to be recognized over the next six to seven months as work is completed. In addition, last week, we received authorization to begin work and therefore begin revenue recognition on an $880,000 deal total contract value multi-month scanning project that was sold in Q4 of 2024, but had document pickup delayed by the client. These projects -- so we just started picking up that work this week. These projects will enable us to resume work at more historical levels in the coming months. Hopefully, recent political events that created uncertainty in the first part of this year are moving behind us, and we will enjoy more of the tailwind our products and services ROI engender. At this time, I would like to turn the call over to our Chief Financial Officer, Joe Spain.
Joe Spain: Thank you, Jim.
Jim DeSocio: Joe?
Joe Spain: Thank you, Jim. I will now review our financial results for the first quarter 2025. Total revenue for the quarter ended March 31, '25, decreased 5.8% to $4.2 million, as compared to $4.5 million for the same period last year. The following are the material components of our revenue presented on our statements of operations. First, SaaS, including hosting revenue, grew 9.8% to $1.5 million for the quarter from $1.4 million for the same period last year, primarily driven by continued Payables Automation early success. Software maintenance services were down, as expected, decreasing $23,000 or 6.4% from 2024. As a reminder, these maintenance revenues are from support agreements with customers continuing on our premise solution. Professional services revenue decreased 13.2% to $2.2 million for the quarter from $2.5 million for the same period last year. Jim has just discussed the timing issues driving this decrease. As a percent of total revenue, professional services revenue was 51% of total revenue for the quarter, compared to 55% last year. Consolidated gross margin percent increased 322 basis points to 67.6% for Q1 this year, compared to 64.3% last year. The increase was driven by a better revenue mix as a result of reduced professional services revenue, but also importantly strengthening of our SaaS margins, which grew 142 basis points to 86.1% from 84.6% last year. Operating expenses increased 21.1% to $3.6 million for Q1 2025, compared to $2.9 million in Q1 2024. The increase is driven by our investments in sales and marketing, as well as infrastructure, which is reflected in admin. Jim has discussed these already as part of our strategy to accelerate sales and enabling us to scale. Net loss for Q1 was $728,000 compared to a net loss of $175,000 for the same period last year. The primary driver here was the increased spending levels in SG&A to enable us to achieve our sales growth this year in 2026 and beyond. Loss per share was $0.17 per share compared to loss per share of $0.04 last year. Our adjusted EBITDA for the quarter was $77,000 compared to an adjusted EBITDA of $673,000 for the same period in 2024. The difference again are the same investment factors we just discussed. Next I'll turn to a brief overview of our balance sheet. At March 31, we had cash of $2.1 million and accounts receivable net of $1.4 million. Our total assets were $18 million including $9.1 million in intangible assets and goodwill as part of acquisitions made since 2020. Total liabilities were $7.6 million including $2.9 million in deferred revenues, reflecting signed SaaS and maintenance contracts and $1.35 million in debt principal as of March 31 2025. Given our sales and marketing initiatives, we've temporarily paused our aggressive prepayments of our debt and we will continue to assess the best use of our capital. For those watching our filings you'll have seen our Form S-3 for a shelf registration. This will enable us to act quickly to further strengthen our balance sheet. As Jim noted, we do not want to miss the market opportunity we see before us. I want to wrap-up with our financial outlook. Based on our current plans and assumptions and subject to risks and uncertainties we described in our filings in this call, we expect no change to the guidance we just gave in March that we will grow revenues on a year-over-year basis for fiscal 2025 particularly growing SaaS revenues and maintaining positive adjusted EBITDA. The company expects its 2025 adjusted EBITDA will be reduced by more than half compared to fiscal 2024 due to the increased investments in sales and marketing intended to provide returns on those investments in late 2025 and beyond. With that, we thank you all for listening. And at this time, we'd like to open the call up to Q&A.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] And our first question comes from the line of Howard Halpern with Taglich Brothers. Please proceed with your question.
Howard Halpern: Thank you. Congratulations on continuing to move SaaS forward. That's a good sign. In terms of, so you talked about I guess seven new customers I guess in the first quarter. With those being implemented over the next number of months, how many implementations will you have? And what would those implementations mean in terms of annual recurring revenue?
Jim DeSocio: We still have -- I don't have the revenue -- I don't have the recurring revenue off the top of my head for the ones that are going live, but we'll have about 22 to 23 customers at this point using the SaaS product, the Payables Automation product.
Howard Halpern: And how is the -- I don't know if the implementation is the right word but on the -- not the Payables but the other side of the equation the purchase orders?
Jim DeSocio: The purchase orders we released our first -- we had our first release of payables our purchase order just went out in the end of April. We've already done four or five presentations. We're getting good feedback on the product look and feel. Again, just to keep in mind, it is a first release. So it is maturing. We have other future releases planned as we go forward, but we're very bullish on that. And the initial feedback we've gotten has been very, very strong. I've actually had an outside consultant who's been in the Payables Automation space for 15 years or so worked for SAP and some of the other big ERP players and he gave it very, very high marks, for look and feel and initial functionality. But again, it is a first release. And in any first release we have more -- we have a development road map to continue to enhance that product.
Howard Halpern: Okay. And I'll just ask this but it seems like it might not be impacting you based on the number of implementations you're going to have this year. You're not seeing any customer hesitation at all in maybe stretching out the timing of implementations? Or is that sort of fear behind us?
Jim DeSocio: Well, it's actually the hesitation I would think is what's going on in the market the headwinds that the tariffs have created between the US and Canada. Interest rates are high in the building industry. So that slowed a little bit more in aware of how many new houses they're selling. So it's more from that side anything to do with our product with hesitation to buy our product. It's more about what's going on in our key demographic which is the building industry.
Howard Halpern: And with the new orders coming in, in the professional services side are those relatively stable to margin type of opportunities that we should model into?
Jim DeSocio: Yes, most definitely. We had a dip as we always have been very successful selling a big I want to say seven-figure deal high six-figure deal. And we did sell one in the fourth quarter. And for their reasons they said, well we signed, and then when we went to pick it up they said well we need to delay it for a couple of months and they just committed for us to start that project. So with the $2.4 million we sold in March, which was obviously great, great for our backlog. That other $880,000 is added on top of that. So we're well over $3 million of work we have in our queue to perform going forward which should really help get our numbers back to where they've been historically.
Howard Halpern: Okay. And then just one last one. This is more of a -- not a base business question. You have do you still have overall -- is it a little bit in excess of 600 K-12 customers that you serve?
Jim DeSocio: Yes. That's another part of our growth strategy for the Payables Automation and capture as a service solution that we offer. So we just launched that. I want to say in April -- beginning of April, we just trained our sales -- our K-12 sales staff on that product and we've already started selling into that marketplace we sold. I think we have four to five right now. We had a couple of beta sites. The beta sites went very well. And then we did have a press release of Independent School District of Iowa and with the financial department, we can send that to anybody who's interested touting the great how great the product was and has actually done a testimonial for us and actually spoke at a K-12 user group for us, touting how great the product was. So we expect a good growth on that side. And one other thing, we just renegotiated our contract with our K-12 partner Software Unlimited that they will now be selling and representing the Payables Automation product as well. So, a lot of good things happening on all sides with that product, Howard.
Howard Halpern: Okay. Well, thanks and keep up the great work guys.
Jim DeSocio: Thank you. We're very bullish on the future.
Operator: Thank you. And we have reached the end of the question-and-answer session. I would like to turn the floor back to President and CEO, Jim DeSocio for closing remarks.
Jim DeSocio: Thank you. As I said, Intellinetics is well positioned for continued success. We believe in our strong competitive position in growing markets and our diverse set of solutions with ample cross-selling opportunities. We further believe that it is absolutely the right strategy to reinvest our historically strong cash flow into the company, particularly sales and marketing and development in order to accelerate our growth. We appreciate the continued support of our long-term shareholders and aim to attract new investors as well by delivering strong and consistent financial results. Thank you for joining us today and we look forward to speaking again at our next conference call. Thank you and have a great evening.
Operator: Thank you and this does conclude today's conference. You may disconnect your lines at this time. We thank you for your participation and have a great day.